Operator: Good day and welcome to the Pyxis Tankers’ Conference Call to discuss the Financial Results for the First Quarter 2021. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and an accompanying presentation is available on Pyxis Tankers’ website, which is www.pyxistankers.com. Hosting the call is Mr. Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Mr. Henry Williams, Chief Financial Officer of the company. I would like to pass the floor to one of your speakers today, Mr. Eddie Valentis. Please go ahead, sir.
Eddie Valentis: Good afternoon, everyone. And thank you for joining our call for the three months results ended March 31, 2021. First, I hope you, your family, friends and colleagues are all well and on the way to recovery from this pandemic. We continue to be encouraged by the development and expanding distribution of vaccines worldwide and are all looking forward to experiencing a return to a more normal way of living and enjoying friends and family. Before starting, please let me draw your attention to some important legal notifications on slide 2. I will recommend you read, including our presentation today, which will include forward-looking statements. Thank you. Turning to slide 3. Our most recent quarterly results primarily reflected the continuation of the difficult chartering environment. In the same month period March 31, 2021, we generated time charter equivalent revenues of $4.3 million, down 21% from the same period in 2020 as we had fewer operating days at lower rates. We had a net loss of $2.1 million or $0.07 per share for Q1 2021, both higher than the same period in the prior year. Our adjusted EBITDA for the period ended March 31, 2021, at US$800,000. The product tanker chartering environment year-to-date, including the first quarter continued to reflect the best rates, especially in the spot market. The usual winter uplift in activity did not occur in the Northern Hemisphere due to the effects of a resurgence of COVID and renewed lockdowns in many countries. However, our operating results for Q1 2021 primarily reflected the stability and contribution from the short-term time charters for our medium range product tankers. The average daily time charter equivalent for our MRs was approximately $12,740. While disappointing, these results were better than those that could have been achieved in the spot market. Given this challenging environment, we have continued this employment strategy with six months time charters. As of June 1st, 100% of our available base in the second quarter of 2021 are booked for our MRs at an average growth rate of $13,300 per day. Overall, the chartering market is currently undirectional. With that said, we believe that difficult chartering conditions may persist until fall. However, we are stay positive on the long-term outlook of the product tanker sector, and we are starting to see more positive indicators of economic recovery. For example, OECD inventories of oil products are reportedly down to 5-year averages, and US refinery utilization is running at 87%, the highest since March 2020. During these challenging times, we have accomplished a number of important strategic and financial objectives, which has resulted in a stronger balance sheet, enhanced liquidity, increased float and provided capital for debt repayment and funding for a vessel acquisition. For example, the net proceeds from the February 25 million common stock private placement helped us refinance a loan, which saved us 750 basis points in interest costs and provided the cash portion of $20 million purchase of a medium-range tanker. We expect to take delivery of this 2013 build product tanker by early July and have a bank commitment in place for the balance of the funding. The acquisition further demonstrates our conviction in the positive long-term fundamentals for our sector. Please turn to Slide 4 for information on our current fleet and employment activities. In addition to my prior comments about the certain time service for the MRs, please note that the small tankers continue to trade in the spot market. Now please turn to Slide 6. For a further update on the product tanker market. As you would expect, COVID-19 dramatically reduced personal and commercial activities worldwide, starting late winter 2020, which in plan resulted in a substantial decline in demand for petroleum products, especially transportation fuels such as diesel, gasoline and jet field. While extensive public safety measures for the prevention of COVID-19 as well as record-setting government and central bank stimulus programs have helped stabilize the global economic environment, the massive rollout of multiple vaccines has been the catalyst for recovery. We believe the chartering environment should continue to be under pressure. But by the fall of 2021, we should start to see a meaningful improvement in rates, which we think may be sustainable. Turning to Slide 7, the path of global economic recovery should continue to be bumping. Even with new variants of the virus such as in India, the IMF recently revised its forecast upward for global economic growth in 2021 to a robust 6% with further growth for 4.4% in 2022. A scenario of increasing consumption, combined with lower inventories of refined petroleum products, as well as modest ton-mile expansion from the changing refinery landscape should provide added support to the  product tanker sector. For example, earlier this year, Drewry estimated that nearly 5.4 million barrels per day of new refinery capacity was hauled to come in line between 2021 and 2025. Most of which is not in the old AWS easing. In fact, according to the IEA, shutdowns of 1.7 million barrels per day of capacity have been announced mostly in the OECD, which should result in greater importing of refined products into these mature large markets. Moving to Slide 8. The supply outlook for ARPUs remain positive. The order book continues to drift lower. And recently, a leading industry source estimated overall order book stood at a low of 6.3% out of a worldwide fleet of almost 1,600 vessels. While a reasonable number of MRs are scheduled for delivery through 2022, new ordering activity continues to be historically low. Moreover, due to the recent surge in ordering of new container ships and dry bulk vessels, many Asian yards don't have the available construction slots with deliveries until at least 2023. The owners, decision-making process with banking ordering is further complicated by ongoing developments in ship and engine design, stricter environmental regulations, rapidly escalating ship building costs and involving and still unclear selection of availability of lower carbon fuels and the lingering debate surrounding scrubbers. We expect that demolitions should continue to escalate at approximately 7% of the global fleet of 110 MRs are 20 years or older, according to a recent industry estimate. This is especially the case in light of current port charter rates, strong scrap metal prices and financial headwinds facing all the less efficient vessels due to new environmental regulations and higher bank consumption. As a result, we believe annual net fleet growth for MR should remain at around 2% this year and next. Turning to Slide 9. Despite depressed charter rates, secondhand MR to asset prices have recently picked up to exceed 10-year averages. Obviously, we think it is a good time in the cycle to acquire tonnage and capture potential upward movements in charter rates and further asset appreciation. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks, Eddie. Let's review our unaudited results for the three months ended March 31, 2021 on Slide 11. Our time charter equivalent revenues for Q1 2021, which we define as revenues net minus voyage-related costs and commissions were $4.3 million, a decrease of 21% from the same period in 2020, due to fewer operating days of our fleet and lower charter rates. In the first quarter of 2021, our fleet-wide daily TCE rate was $10,865. It was about $1,000 per day lower than the comparable 2020 period. The small tankers continue to negatively affect our results. Moving to Slide 12. We incurred a net loss to common shareholders of $2.1 million for the three months ended March 31, 2021, or $0.07 basic and diluted loss per share based on 29.2 million weighted average shares outstanding, compared to a net loss of $1.2 million or $0.06 basic and diluted loss per share based on 7.8 million fewer shares. Besides the lower TCE revenues, the most recent quarter results were negatively impacted by $0.5 million loss or $0.02 associated with the repayment of the prior loan when we refinanced the Pyxis Epsilon at the end of March. Adjusted EBITDA declined to $800,000 in Q1 2021. Please turn to Slide 13, which reviews our recent fleet data by current vessel type. The key takeaway here is our OpEx fleet line reflects a slight improvement with stable performance of less than $5,600 per day during the tough chartering environment of Q1 2021. Please turn to slide 14 to review our capitalization at March 31, 2021. At core close, our consolidated leverage ratio was lower than many publicly traded tanker companies, as net funded debt stood at 31% of total capitalization. The recently completed financing discussed earlier, led by the common stock pipe, dramatically reduced our leveraged and enhanced our liquidity and lengthen our debt maturities. Equally important, the weighted average interest rate on our loans has dropped to less than 4.5% currently. With that, I'd like to turn the call back over to Eddie to conclude presentation.
Eddie Valentis: Thanks, Henry. Based on recent signs of optimism, we believe the current tough employment conditions will subside by this fall. Our stronger financial position and operating discipline will continue to help us weather the storm and pursue accretive acquisitions, such as the one we will be closing shortly. Looking ahead, we are excited about the prospects of a healthier and more prosperous post-COVID world and our company. We appreciate your interest, and thank you for joining our call today. We look forward to reporting on future progress at Pyxis Tankers. Be safe, be well.
End of Q&A: This concludes today's conference call. Thank you for participating. You may now disconnect.